Operator: Good day ladies and gentlemen and welcome to the Q1 2013 Tenaris Earnings Conference Call. My name is Andrew and I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct the question-and-answer session towards the end of this conference. (Operator Instructions). As a reminder this call is being recorded for replay purposes. I would now like to turn the call over to Mr. Giovanni Sardagna, Investor Relations Director. Please proceed, sir.
Giovanni Sardagna: Thank you, Andrew, and welcome to Tenaris’ 2013 first quarter conference call. Before we start, I would like to remind you as usual that we will be discussing forward-looking information in the call, and that our actual results may vary from those expressed or implied herein. Factors that could affect those results include those mentioned in the Company’s 20-F registration statement and other documents filed with the SEC. With me on the call today are Paolo Rocca, our Chairman and CEO; Guillermo Vogel, Vice President of Finance and Member of our Board of Directors; Ricardo Soler, our Chief Financial Officer; German Cura, Managing Director of our North American Operations; and Gabriel Podskubka, our Managing Director of our Eastern Hemisphere Operation. Before passing over the call to Paolo for his opening remarks, I would like to briefly comment our quarterly results. During the first quarter, sales increased 2% to $2.7 billion compared to $2.6 billion recorded in the first quarter of last year. However, they decreased 3% sequentially as higher sales of premium OCTG product in Saudi Arabia and Sub-Saharan Africa did not fully compensate for lower sales in South America and the impact of lower market prices for less differentiated products in North America. Our EBITDA for the quarter reached $699 million, which was marginally below the EBITDA we recorded during the corresponding quarter of the previous year and the last year of 2012. Average selling prices in our Tubes operating segment were up 4% compared to the corresponding quarter of last year, but marginally down sequentially. During the quarter, our sales of high-end seamless product increased to 58% of our total seamless volume. During the first quarter, cash provided by operating activities was $563 million allowing us to move from a net debt of $ 271 million at the end of last year to a net cash position of $121 million at the end of this quarter. Now I will ask Paolo to say a few words before opening the call to questions.
Paolo Rocca: Thank you, Giovanni and good morning to all of you. Our first quarter results reflect the mix improvement we are seeing from increased demand for our premium products in the Eastern Hemisphere and the impact of lower pricing on less differentiated product, particularly in North America, as well as lower sales in South American and in two European delta customer. We expect these trends to continue playing out throughout the year. Sales of our premium OCTG product in the Middle East had increasing, as Saudi Arabia ramps up its investment in gas drilling and continue to invest in the capacity required to offset increasing rates of depletion in its oil producing field. Our premium trading facility in demand is operating now at full capacity and we are launching the expansion of the facility. Demand for our premium and deepwater line pipe product in Sub-Saharan Africa is also higher with the exploration of the pre-salt basin in Angola, higher activity Nigeria and increase exploration activity throughout the region. In the Far East we expect a better year with project like (inaudible) moving into the development phase in Australia. In the first quarter, sales of our premium connection product increased 10% sequentially to set a new quarterly record. More advanced drilling technique and more extreme drilling condition are driving higher requirement for our product. To meet this new requirement, we are introducing new product for specific application. In North America the immediate outlook remains uncertain, the U.S. land rig count continues to decline during the first quarter. And in April the natural gas rig count hit the new multi-year low. In Canada, drilling activity in the first quarter in term of meter drill was at similar level to last year, but demand in the second quarter will be affected by the spring break up. A combination of flatter demand and higher level of input from countries like Korea has affected prices and margin in the regions. However, with higher natural gas price a reducing backlog of drilled but unconnected gas wells and ongoing infrastructural development we can expect a pickup in demand before the end of the year. The Gulf of Mexico however remained a bright spot. Activity continued to increase and have successfully develop a new integral well connection and a special riser connection which meet the challenging requirements of lower tertiary project like the Shell Mars B. Our new integral wedge 623 Dopeless and the Blue riser connection will be onshore, the Offshore Technology Conference in Houston next week. In Brazil we are currently delivering shipment for the Cabuna-Tirasma pipeline, but in the second half of this year we will have substantially lower line pipe shipments due to delays in the forthcoming projects. In Argentina, we have concluded alliance agreement YPF providing for just-in-time services and top management. This agreement will be important to the Board as the development of the Vaca Muerta Shale Play. In Venezuela shipment continued to be affected by payment delays by (inaudible). Outside the oil and gas sector the competitive environment is being affected by low levels of trend from a European industrial sector. We continue to reposition our operation with a focus on each sector where we can achieve effective differentiation. In this environment our result for the quarter remained in line with those of the fourth quarter. With our strong cash flow from operation we have now in net positive cash position. This will enable us to continue our investment plan to position the company for an expansion of activity in the medium-term. We can open the floor now for question and answer.
Operator: Thank you, ladies and gentlemen. (Operator Instructions) Your first question comes from the line of Ole Slorer, Morgan Stanley. Please proceed.
Ole Slorer – Morgan Stanley: Yes thank you very much I wonder whether I can open up with a little bit more clarification on what’s going on in the north American market right now with respect to this leading-edge pricing and inventories and if you could just German, specifically on any big difference that you see between low-end welded and semi-premium and premium products?
Paolo Rocca: Thank you Ole for your question. North America as I mentioned in my prepared remarks where we have some uncertainty concerning how the rigs for gas could rip over may be in the fourth quarter of the 2014 of this could happen later. As far as the pricing in the different segment I would ask German to make a comment on how we perceive. This is an area in which we feel pressure on the less differentiated product you see these reflected in the pathologic but I would like German to give the view on how we see this in different segment.
German Cura: Sure good morning Ole and thank you Paolo. If you comment Ole we continue to see some pricing pressure on the what we call low-end pipe total market this is particularly emphasized given the level of imports that we continued to see imports are cost again 61% this last quarter and particularly coming from South Korea as majority of the rate we all know we started on doing staff. At the other side we have the premium connection sales where we see a pricing environment that is a lot most stable where it’s some pockets in deepwater Gulf of Mexico where as we have announced introduced new products which are fairly unique and given the application solution that we present in where we could India expand a little bit in the pricing (inaudible) environment overall.
Ole Slorer – Morgan Stanley: And what is that…
German Cura: Semi-premium is a bit of I would say a component of a premium environment the market go semi-premium where we’d like to recent applications so is probably not correct to generalized it. We have from API plus staff cost semi-premium to premium connections which belong to a lower applications…
Unidentified Company Speaker: Yeah. Yes I may add that clearly there is a push from the oil company operating in the shale space to reduce their cost as much as they can and we see some shift from full premium connection into semi-premium on one side and in the semi-premium connection is sometimes is more difficult to get full differentiation. So this may have an impact on prices overall. But I think the big question mark for us in a North American market is how the higher price of gas and the reduced number and non-completed wells dedicated to gas and may impact on the well drilled in the fourth quarter and the beginning of 2013 and not really today to make a forecast on how fast rig count and well drilled may recover in the U.S. From my point of view for sure this will happen but and will happen in the course of 2014 but it’s not really to understand when this turn will start.
Paolo Rocca: Short comment on inventory, Ole is they remain at a level of about five months. This is a certainly stable level and majority of which again is at the low end it needs from a mix prospect.
Ole Slorer – Morgan Stanley: Okay, that’s useful. So particularly you highlighted the fact that certain semi-premium applications are now displacing premium as, I suppose, people get more familiar with the drilling of shale wells. Any specific region where this is happening and is it happening in any big way?
Unidentified Company Speaker: Well this is particularly they came Ole on shale oil application which we’ll see expanding through the year the result of the pricing dynamics that we just comment and it is somehow associated with the formation knowledge increasing and operators back to the point of Paolo trying to optimize the cost structure as much as it possibly can but I think the underlying factor is shale oil while they invite I mean piece of filtration.
Ole Slorer – Morgan Stanley: Okay. I understand. If I may just follow-up quickly on Mexico, there is a lot of noise around Mexico and the energy reform. What specifically are you hearing from your main customer in Mexico, or maybe even some of the new players invited in with respect to activities? Is that centered around the South, the North? Is it going offshore yet? Specifically, right now, what are you hearing from your customers in Mexico?
Paolo Rocca: I will let Guillermo Vogel to comment on Mexico. As a general phase I mean let me tell you that we are very positive on the trend in which Mexico is moving and on how the country is reacting at the time and on the course the renewable element but anyway Guillermo you may comment on how we see trend and the movement could by the energy reform now.
Guillermo Vogel: Sure, Paolo. Good morning to everybody and thank you Paolo. I guess I would say only that for sure there is a intention and people are working in terms of having an energy reform. These reform is that what we see is that it’s going to happen by the probably by the fourth quarter. You are going to follow-up the physical reform and it’s going to follow-up the physical reform because the way that the final program on our physical reform comes is probably to try to do that repentance in terms of the income that the permits generate to the country and so that’s going to give space to a more aggressive or less aggressive energy report. In terms of what we see and what we have heard I think that this is going to create much more space for independent drillers in Mexico. What we foresee or what I would foresee is that there is going to be spaces open in areas like Chicontepec in areas like the mature fields in the shale probably in the deepwater but this is going to we are going to see effects on that in terms of our business until probably the second half or the fourth quarter of next year. This year what we are seeing is a reduction in the north reduction in Chicontepec activity which has been substituted by a more aggressive operation in the south and a stable operation. If you see the numbers for 2012 you see that there was an increase over 2011 which was interesting we see a small increase in 2013 we see a better mix for us in terms of more activity in the south would bring a better mix (inaudible) for us. And then we see an increasing 2014 and probably we’re going to see the full effects of our reform until 2015 this is more or less what we are seeing today in Mexico.
Ole Slorer – Morgan Stanley: Very useful Germán thanks and then finally just on Vaca Muerta how real is it? How quickly can this go you think to be something that moves the needle for you on your Latin American volumes overall or is this still just a science project?
Unidentified Company Speaker: What I think the overly the play the Vaca Muerta play is very interesting it’s important and the country is importing gas at high cost today so there is a clear interesting part of many players in moving on. I see YPF moving on this and looking and building up the financial strength through different means to increase level of operation Vaca Muerta I don’t think there will be an explosive grow but things are moving the, we expect gradually the number of rigs to pick up during this year and in 2014. It will depend from the ability of YPFto attract financial or operational partner that could contribute to these but I would say that not only for YPF but also the other operator are moving rigs into the field. So, gradually this will begin.
Ole Slorer – Morgan Stanley: Well good luck with Argentina and thank you very much for answering all my questions.
Paolo Rocca: Thank you Ole.
Operator: Thank you. Your next question comes from the line of Blake Hutchinson from Howard Weil. Please proceed.
Blake Hutchinson – Howard Weil: Good afternoon gentlemen. Just want to first touch on the your business in Saudi Arabia you mentioned in the last call that you had a major tender for materials pending similar to what we saw in 2011, wanted to understand that whether that was already impacting results positively or would expect the results of that to actually improve even from here, resulting from here as we get through the year?
Paolo Rocca: Yes thank you Blake. I think that the Saudi Arabia pickup is impacting now and will impact more in the next, in the coming quarter. But I will let Gabriel to comment on how we see the expansion and the program Saudi Arabia in the near future.
Gabriel Podskubka: Yes thank you Paolo good morning everyone. The international market looks solid and we see consistent growth in the Middle East and sub-Saharan Africa and within this scope Saudi is the right spot. We see an increase over drilling activity today we are running at a pace of 140 rigs this compares to 120 rigs of last year and we expect this to expand further and we reach will probably reach 170 rigs by year end this has triggered our desire to further expand our local capability in Saudi to cope without increase of a demand this hydrocarbons are highly corrosive and the demand high-end technology for which we have a clear advantage. So we see Saudi as an important part of our growth during 2013 and as Paolo said this is always starting to beat in the first quarter and further to come throughout the rest of the year.
Blake Hutchinson – Howard Weil: Okay and then just following up you mentioned the one region that I think you mentioned most briefly in the commentary and the release is the Far East and increasingly this represents a high quality content deepwater or offshore market Paolo I just wanted to get your thoughts in terms of strategically about with regard to do you feel like your franchisers has what it takes right now to address those markets or you need to or you’re going to make some further investments to capture similar share to where you are in the rest of the world?
Paolo Rocca: Well thank you for the question Blake, the Southeast Asia, from our point of view is especially interesting into area on one side very strong in Indonesia and we have an important facility there so we cover from Indonesia all let’s say the area and the activity in the country and close by. On the other side of that we are focused on the project on deep offshore from Australia to the entire region including Indonesia. In this project we go for the most strategic component for the riser for the offshore the both installation pipe managing the flowlines. This is an area in which are we found niche of high end product that been exploit positively one of this is of this area one of this project that is very encouraging for us is the Chevron recent and the project that are going on in Australia. Then is the third area that we are looking on carefully and the shale in China we are supplying Shell operation in China for shale. The point is how effect shale could grow or could expand especially for gas in China we are focusing there we had a facility and we also started producing our most sophisticated product in our facility in Qingdao with the destination of these shale. This is to-date not ever I live and the volume or margin for us but it could be very, very important in the future depending on how fast Chinese company and Shell and western company may decided to move their program. But may be more specifically Gabriel you can give some indication on how we see the most interesting project that we’re following in this area on business.
Gabriel Podskubka: Yeah thank you Paolo. In this for us South East Asia is an important deepwater play where we have an important presence in the water projects in Indonesia there is an upcoming developments that are going on and will happen during the end of 2013 we are also participating an important complex projects in Australia and as you said shapes in China is one of the most promising areas in the mid-term we don’t expect it to have a material impact in the short-term but this is a something that depending on its base this will be an area of more focus and growth for Tenaris for sure.
Blake Hutchinson – Howard Weil: Great, thanks that’s a great overview of the region. I’ll turn it back.
Paolo Rocca: Thank you.
Operator: Thank you. And your next question comes from Frank McGann, Bank of America. Please proceed.
Frank McGann – Bank of America: Okay good day. Two questions one, just in terms of the overall global supply demand balance now that you’re seeing in your key products your regional overview you covered a lot of this but I’m just thinking in terms of looking forward with the capacitations we’ve seen from some players and yourselves adding capacity as well how you see the supply demand balance over time is there a risk that supply could outstrip demand and we could see a more competitive pricing environment that we’ve seen already and then secondly, in looking at Brazil and Colombia, you mentioned that Brazil the second half would be week. I was wondering if you comment just a bit more, give a bit more detail on the specific projects that are being affected there that could affect your demand. And Colombia do you see signs that the weakness that you highlighted in the earnings release that affected the first quarter could be released somewhat as you go through the rest of this year? 
Paolo Rocca: Well on the first question I can’t understand whether is the question of supply and demand really we in the process with great fees by separating in the different segment. I frankly think that in the low end segment of this market which is very important I mean there is all around the world from China to Russia to the rest of the world a large volume of price using mature fields that has on which we have very limited opportunity or differentiation. In this area there is no doubt excess demand and low capacity utilization on part of especially on Chinese producer. This is a something that is also impacting into the U.S market that is a very large market that has a component of this through input. And German and myself in the repair statement I mentioned the Korean import but there are also imports from other sources that comes from this work. There is a word in which excess capacity if needed. Then there is a very differentiation word of premium products for premium connection complex line types complex product also difference not only in oil and gas or directly indirectly driven by oil and gas but also driven by in the asset segment. Now in this area the rate of low that we are expecting coming in is in the range of 8% per year. This is substantially higher that the low end segment the low end segment part of the reason for excess well that has been the growth of this is low end segment has been substantially lower in the range of 3% per year. This what we expect for the future. Now in the premium segment I think there are specific product in which production capacity is tight and sophisticated (inaudible) capabilities limited they. Probably in 2013 will not be the moment in which we will really feel the pressure on the segment because the gas drilling for gas in the U.S will not be let say going at a very high rate on a contrast. Now as soon as the gas drilling we got in the U.S also the demand for premium will increase and we contribute to a tightness of the equilibrium which is the demand and supply set. This is what we expect is something that I think will come out basically in the medium term wait a minute I’m saying 2014 basically. At that point remember there are also other areas in which there could be demand of premium is not only so there are area but we can see something more from Venezuela something more from Argentina something more from Mexico because in the end Mexico in my view in the medium term will substantially step up his level of energy operation. Mexico today is importing the marginal gas is coming from Peru and these LNG is a high price. So in the end there is interest renew the interest also Mexico for gas production not on the imports from the State and Deepwater all around the world shale that they are concentrated in U.S could expanding out in other market. High pressures high temperature field in different part of the world frankly I think that the demand supply improving now with the capability of certifying the need of the oil company will be tight on a medium term we are our investment are designed to accommodate these and to be the first moving in some areas and to be in a position to satisfy and increase demand overtime. Second question is Brazil, Brazil that the – there has been a delay in projects, important project the role that Cabuna that we have in our book is in our backlog. We need to – we were thinking that, well we think now that this could start in 2014. So, we will have the second semester of 2013 in which our sale of line impact will be particularly low. On a contract to say OCTG in Brazil doing well, we are introducing we signed agreements with Petrobras as we mentioned for – it’s a multi-year agreement that includes premium joints, we are also including Wedge technology to satisfy the need of very demanding offshore wells. When you mention Colombia, Colombia is you know we have strong local presence and we are in the middle of a project to increase our (inaudible) and finishing capability. Colombia is a very important country for us, but we expect in – basically in 2013 the level of the market to remain more or less in line with market in 2012. Some of the exploration work that is going on Oceania if it turns out to a positive results may drive an increasing demand that also in the medium brand, we do not expect this increase to happen in 2013.
Frank McGann – Bank of America: Okay, thank you very much.
Operator: Thank you. And your next question comes from the line of Michael Lamotte, Guggenheim. Please proceed.
Michael Lamotte – Guggenheim: Thanks, good morning guys. Most of my questions have been answered, but Paolo maybe you can help me with the balance sheet a little bit, if I look at your capital requirements over the next couple of years with Baytown there is certain long duration investments and your balance sheet continues to be more – more short-term debt suppose to long-term debt exposed. Net debt is now positive cash, I’m wondering two questions one as you go to build out Baytown, which you look out to potentially term out more debt against that facility and two, have you given any consideration to using debt as a means of accelerating the dividend/
Paolo Rocca: Thank you, Michael. You’re right we are committed in this moment on investment plan in many different region of the world in Brownfield project or almost a Greenfield project like the Colombia and/or the extension of the Saudi Arabia is a substantial intervention also. So, we have an important investment plan, but the new plant in the United States you do rightly mentioned, will also add to our capital expenditure, but it will be distributed over time. So we expect our investment level to be in the range of $758,000 million per year in the coming year. Remember we think that we can put into operation our Bay City plant in beginning – mid of 2016. So investment will be distributed in 2013, 2014 and 2015. Our program of investment should stay in this – in this range for the next three years.
Michael Lamotte – Guggenheim: Thank you. And Paolo just following up on the dividend question, I know you have generally use debt to finance acquisitions, you now have a lot of drypowder, maybe you can talk about use of balance sheet within the options of M&A at this point as well as using debt to increase the dividend payout potentially?
Paolo Rocca: I think we will have as you know this is not – I mean will depend on the shareholder, but I think we will pursue a stable policy of dividend payout over time. The company is generating substantial amount of cash, we have a very strong financial position. We are considering all of our option; I mean even the investment in our facility that is needed to keep the pace of competition and to differentiate our production our industrial season and our product line not really changing the substance of cash generation you can see this quarter now even considering investments in the range of $180 million in the quarter we are reducing the (inaudible) passing toward positive financial position. We are considering option and we will always look for opportunities that could strengthen our differentiation and allow the company expansion in different direction but at the mean time we are investing in our facility.
Michael Lamotte – Guggenheim: Great, thank you.
Operator: Thank you. And your next question comes from the like of Stephen Gengaro, Sterne Agee.
Stephen Gengaro – Sterne Agee: Thank you good morning gentlemen. Two questions if you don’t mind the first is I think pretty straight forward. You talk about the Canadian seasonality and we kind of look back at historical patents but can you give us a sense for the magnitude of sort of the Canadian piece of the business?
Paolo Rocca: Thank you, Stephen. If I understand correctly you are asking of the extent of seasonal variation of activity in Canada. Now let me make one comment first before passing to Germán for further comment on this. The season – I think that this season for Canada should have been basically below the level of demand of the last year. And what you see in this quarter is in level, I tell you from our point of view is a level of the market basically in line because the cold weather in Canada has allowed the rigs to continue work in the last in the second part of March this is not usual last year was not the case. So, we will have something higher consumption in this quarter and probably some lower consumption in this second in Canada in second quarter but Germán comment on how we proceed dramatically consider than the two different I mean the different field in which the rigs operate.
Germán Cura: Thank you Paolo and good morning Stephen. Well I’d say that other than this usual seasonality variances that we see Stephen even this particular year we’ll see something probably higher than the average of the last two reason being is exactly that the notion of March was particularly a longer than what is obviously, beginning April is where by now it is full fledged of the break out so we’ll see in Canada during the second quarter which is relatively speaking lower than what it was. Now we don’t disclose specific volume numbers as far as Canada is concerned even for competitive reasons that usually go back to the fundamental where we concentrate in opposition and thermal which continues to be a growing segment in Canada remains really important business area for Tenaris I have said in the past I’ll say it again to where we have about 70% and even north of 70% market share on that growing space. There is also a component of low end where we have an important participation but somehow it is also exposed like in the states to both imports and also low end domestic production competition which has been under effective impact logics and price pressures but overall we will remain very confident about Canada you can see what we have production overall seamless and well that will equate to serve these all of the domestic needs and seasonality aside we continue to put enormous emphasis and focus.
Stephen Gengaro – Sterne Agee: Okay, thank you. And then as we look at some of your commentary specifically in the press release about revenue and margins for the balance of 2013 what are you, are you looking for outside of the Canadian side I mean are there things you’re looking for that what should, what are you focused on to give you a feeling that you’re at a positive inflection point from a margin perspective I know you’re somewhat optimistic about North America coming back as you get towards the end of the year but are you, what is it going to take you think that really get that positive inflection point on margins like we’ve seen in prior cycles that has really not shown up yet? And is there a structural change in industry that is, is creating a large headwind for that not to happen, is something different or is it just the timing issue?
Paolo Rocca: Yeah well I think that from our point of view that it could be several point that are relevant for our margin and in which probably we can expect in the medium-term some support and we went across full market in which we are really rooted this is Mexico on one side Argentina on the other then I missed Brazil is also important. Then that are issue that are relevant for everybody it is a gas price and gas activity in U.S. this may drive substantial volume of pipes and it not only a high end but is high end and low end this could make a difference. There are infrastructure limitation today there are very relevant for the level of demand in Canada and U.S. I think that’s gradually infrastructural program issue will be solved and the price the net price that the producer see in Canada and U.S. will gradually increase which is a factor that could cause clear inflection. Some reduction in input and this side is also something that would be important. Then there is a question on price of oil what like today some concern about the well, the rates for drills in China level of price of commodities worldwide and economic growth of that like over in U.S. all of these are creating some uncertainty in what we can expect from the price of oil on the medium-term this is the factor and the moment in which we perceive a clear turn for a more solid recovery. In any or all of these environment I think that with the success base of some of the project all around the world this is from Middle East to Southern Africa to Far East and which is a driver of offshore a complex product that could also immediately drive demand for differentiated products. By the way the level of margin that we have today which is between 26, 27 we are moving in these range is very high margin within the industry we can also I mean, we are continuously working on the cost side of this and I think that there are things that remain gradually get through in on the margin side. But basically these are let’s say the drivers that potentially could have any influence on our medium-term dynamics for margin.
Stephen Gengaro – Sterne Agee: Thank you and then just one quick and I do, we do appreciate your relative performance in the industry be the one quick that did you mention I may have missed the premium mix in the quarter of see most?
Paolo Rocca: Sorry could you say again?
Stephen Gengaro – Sterne Agee: Did you mention the percentage of the most that was premium in the quarter usually you say that I didn’t catch in the prepared comments?
Paolo Rocca: No, we mentioned the high end percentage that is going up in the range of 58% I don’t know something that is in this quarter, there have been a quarter if the level is really high end remember we mentioned in the last conference that diesel participation of high end product should increase during 2013. and this is what we have now from a point of view of our margin we are also saying that’s an increase pressure on less differentiated product to some extent driving the margin on the other side and that what we feel and the reason why we expect stable forecast our margin in 2013.
Stephen Gengaro – Sterne Agee: Great. Thank you very much.
Operator: Thank you. Your next question comes from Geoffroy Stern, Cheuvreux. Please proceed.
Geoffroy Stern – Cheuvreux: Yes, good morning. Geoffroy Stern from Cheuvreux. I have a couple of questions please. The first one relates on seamless volumes. I was wondering if you could give us some indication in terms of what kind of trends do you expect for the seamless volumes going forward. And especially when we look over the past two years at your seamless volumes we are not seeing any, let’s say, significant change or significant increase despite the ramp up of your new mill in Mexico. So any indication on this would be helpful. And my second question is on the OCTG in the US. Could you update us on the potential filing of a non-anti-dumping case against South Korean importers? 
Paolo Rocca: Yes, and let me start with the second question, because I am not sure that straight to the first one, let’s first answer to the first question and then if I will answer to these moment as your first point. German ready.
German Cura: Well good morning Geoff. From my strength perspective we as I indicated are working with the rest of the industry we are naturally looking at Korea and not only Korea other imports as well. We believe that we might come to a final conclusion in the coming months and frankly there is not much more I can tell you at this point because as you know with this process that is managed industry wide where we are not really started really active participation but we don’t need an important player to the take.
Paolo Rocca: Yes, could I ask you that to repeat you can the first question?
Geoffroy Stern – Cheuvreux: Yes sure, my question was on seamless volumes. I was wondering if you could help us, let’s say, assessing what could be the trend for seamless volumes in the upcoming quarters. Having in mind or so that over the past two years, when we look at your quarterly numbers for seamless volumes we’ve not seen any, let’s say, material increase despite the progressive ramp-up of your new seamless pipe mill in Mexico. So I was looking for information on this. 
Paolo Rocca: I guess thank you for the question. I think we are facing substantially a stable market in which we can sell our seamless product today. For the reason I mentioned before the situation we had in some of Latin America and Venezuela. And so today the we are not using full capacity from our mill but we are taken full advantage of our mill in Mexico to improve the mix of production facility operating in our system. So at this moment I was really massive with that very well is operating very well and it’s not very full capacity but it’s giving the substantial contribution to us but it’s more let’s say supporting our production system in terms of efficiency and cost more than in absolute volume. As I mentioned we proceed that the demand and supply in the less differentiated segment or the market is showing to the exists capacity different part of the world. This good change and should change gradually during 2010 thing but probably in the medium term more on 2014.
Geoffroy Stern – Cheuvreux: And just to follow-up on this, is it I would say because basically your guidance for this year has been somewhat revised downward compared to two months ago, would you stress that the main reasons behind this is the, let’s say, deterioration for the less differentiated segments. Is that correct? 
Paolo Rocca: Sorry again I’m sorry for the, I didn’t catch the very well the question. Could you repeat it on?
German Cura: Yeah, yeah.
Paolo Rocca: Noise in the line.
Geoffroy Stern – Cheuvreux: Yeah, sorry, I was just asking about the downward revision to your guidance I mean compared to two months ago, what is the main reason behind this, is this – is it you – is it reason let’s say by sales – the duration in the less differentiated segment or with something else?
Paolo Rocca: Well maybe German this is something that you can comment on.
German Cura: So I think…
Geoffroy Stern – Cheuvreux: Sure.
German Cura: Thanks. I think more of the first, it’s the notion of precisely the less differentiated segments just being under pressure particularly through in North America. And probably the – back to North America, we’ll expect demand we continue to expect increase level of activity over the end of the year, the trade I mentioned also would be a major contributor and you saw affecting precisely the less differentiated segments. (inaudible) to the rest of the market that the some of the factors that I thought Paolo mentioned will may trigger, a change I would also be in play, no doubt about it from perspective.
Geoffroy Stern – Cheuvreux: Yeah.
German Cura: Hopefully that answers your question.
Paolo Rocca: Yeah and basically, with the level of rigs – and the activity, drilling activity in the U.S. is a very important factor for worldwide demand. I mean these guys are so important that this is the end affect that the drilling rigs in – drilling for gas are today record a low level is for sure impacting on – also on the less differentiated segment.
Geoffroy Stern – Cheuvreux: Okay, thank you very much for this.
Paolo Rocca: Thank you.
Operator: Thank you. And your next question comes from the line of Julien Laurent, Natixis. Please proceed.
Julien Laurent – Natixis: Good morning. I was wondering if – this is you’ve seen some change in the North American market with demand going more toward low end of mid premium product, if you are confident regarding what will be the state of the market in four years from now given that you will commission your new plant, how comfortable can you be regarding the demand four years from now in North America, should it be driven more towards low end? Thank you.
Paolo Rocca: Yeah, thank you Julien for your question. Frankly, we are very positive on – maybe on the term demand. I mean we proceed that the gas price in North America and the NLG independence say to wish the U.S. could that the U.S. could reach in a relatively short period of time, it’s a question of few years is a strong extraordinary strong driver for increasing consumption of gas and these offsetting condition for relevant increase in the coming years. We expect the shale gas and oil to pick up strongly over time and in the sense we are, total convinced with the decision to invest in the new facility for seamless pipe in Texas is fully justified by the dynamic we expect from the market. For the U.S. this is extraordinary opportunity to bring back some of the money factoring activity into the U.S. and this is what we see today, not only substitution of coal, we’ve got for power production, but also industrial activity for instance, you have seen new plants for DRI production in for Nucor in Louisiana, from first that being in Texas, I mean these are an example of industrial activity they are coming back to the state, take an advantage of strong gas price differential over time. There will be also some expert imagine over time and all of these will create environment for increase in drilling activity and demand, infrastructural constrain will be solved in my view over time not immediately, and this whole is positive over time. This 2013 from my point of view is a transition year in which the economy of the world is also affecting the perspective, but is just this transition here on a trend that is in upward trend.
Julien Laurent – Natixis: Thank you Paolo I get your point regarding volumes but is there any way to get the edge on differentiation in the coming years?
Paolo Rocca: Sorry say again.
Julien Laurent – Natixis: Is there a way to keep the edge on differentiation regarding your mix in the coming year if the plans are looking for more standardized volumes?
Paolo Rocca: No as I mentioned before I think the rate of growth differentiated area is much higher than the rate of growth than less differentiated area. I think this is through a general trend not probably this less so in 2013 so in the point especially in the States that is a clear trend on the medium term so this is the key for product differentiation also in my view technology changing in shales, in deepwater requirement are changing so there is a huge space for design and development of new product and that will feel growing and different needs of the oil company. On this ground we mentioned the Dopeless we mentioned the new product like the 623 Dopeless that we are now sell to Shell for the Mars B. In this sense the reason and we are I think getting very good response from our client remember in this month we assigned for – we got awarded a multiyear contract with Conoco, multiyear contract with Noble agreement North America and Canada operation of Shell. So perceive interest and drive on the differentiated area segment of the market and we are ready accompany and guide this.
Julien Laurent – Natixis: Thank you, thank you.
Operator: Thank you. Our next question comes from Amy Wong, UBS. Please proceed.
Amy Wong – UBS: Hello my question relates to your outlook on Brazil and saying that there has been some delay to the project execution. Can you just elaborate whether that was delays on your end or have you been, have your customers been delaying their orders to you?
Paolo Rocca: Yes, well, you are saying is the – which are the reason of the delay.
Amy Wong – UBS: Yeah the reason for the delay for the line part…
Paolo Rocca: This is I mean I think there are delays in definition on some of the project we see this in the realization of the refineries but also in the exploration and production and this is not only initial for Petrobras the initial for some of the other player that are operating in this base. For instance in the case of the (inaudible) this is a product that for – is really needed it is needed to bring to bring us to the cost and to allow for drilling for oil with associated gas is needed but probably we will be producing and selling this on the beginning of 2014. One year ago we were thinking that this project could have been delivered in the second half of 2013 these are the kind of delays that are impacting on us as a supplier. I would say the infrastructure the investment in infrastructure in different part of the energy system is going on the target are not changing but the pace of realizing this is lower to grade and we thought maybe one or two years ago.
Amy Wong – UBS: Alright just a quick follow-up on the margin profile for the year you’re saying that it’s expected to remain close to the current levels what kind of reasons and will we see kind of the volatility behind the margin when we see expect to see or through the remainder of this year?
Paolo Rocca: Sorry Amy could you repeat again?
Amy Wong – UBS: Sure. The question is on your margin for the remainder of this year what are the factors that are going to be affecting that margin from a quarter-to-quarter basis and what kind of profile will you be expecting for the next three or four quarters?
Paolo Rocca: Well as we see in our press release I think in 2013 we expect our margin to be more or less in line with what we have today, possibly the next quarter could be a little stronger because in the end our third quarter always there are top producer plant in Europe like in the first quarter we had stoppages in Siderca and in Argentina and it is Southern Hemisphere. These top producer have an influence because in the end we had worked absorption of fixed cost. So we may lose something we have in our cost because of this. Second quarter traditionally is the strong quarter probably in the third and we will feel the impact of stoppages in the European mill but all in all we expect to be able to maintain stable margin over 2013.
Amy Wong – UBS: Alright. That’s very clear. Thank you.
Operator: Thank you. And I would now like to turn the call over to Giovanni for closing remarks.
Giovanni Sardagna: Well thank you Andrew and thank you all of you for participating to our first quarter 2013 conference call and good bye.
Paolo Rocca: Thank you very much.
German Cura: Thanks.